Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Olink Proteomics Q3 2021 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session.  I would now like to hand the conference over to your speaker today, Jan Medina. Thank you, please go ahead.
Jan Medina: Thank you, Patrice. Good morning, everyone, and thank you all for participating in today's conference call. On the call from Olink, we have Jon Heimer, Chief Executive Officer; Oskar Hjelm, Chief Financial Officer; and Carl Raimond, Chief Commercial Officer. Earlier today, Olink released unaudited financial results for the third quarter ended September 30, 2021. A copy of the press release and an updated corporate presentation are available on the Company's Web site. Before we begin, I'd just like to remind you that management will make statements during this call that include forward-looking statements within the meaning of the U.S. federal securities laws, which are made pursuant to the safe harbor provisions of the U.S. Private Securities Litigation Reform Act of 1995. Any statements contained in this call that relate to expectations or predictions of future events, results or performance are forward-looking statements. Actual results may differ materially from those expressed or implied in the forward-looking statements due to a variety of factors. For a list and description of the risks and uncertainties associated with Olink's business, please refer to the Risk Factors section of our final prospectus relating to our registration statement on Form F-1, file number 333257842, which was declared effective by the U.S. Securities and Exchange Commission on July 14, 2021, and in our other filings with the SEC. We urge you to consider these factors, and you should be aware that these statements should be considered estimates only, and are not a guarantee of future performance. Also, in the remarks or responses to questions, management may mention some non-GAAP financial measures. Reconciliations of adjusted gross profit and EBITDA and certain other non-GAAP financial measures to the most directly comparable GAAP measures are available in the recent earnings press release available on the Company's Web site. The conference call contains time-sensitive information and is accurate only as of the live broadcast today, November 10, 2021. Olink disclaims any intention or obligation to update or revise any financial projections or forward-looking statements, whether because of new information, future events or otherwise, except as required by law. And with that, I'll turn the call over to Jon. Jon?
Jon Heimer: Thank you, Jan, and good morning, everyone, and thanks for joining Olink's third quarter earnings call. I will start with a review of our operating results and strategic objectives, before turning the call over to Oskar to discuss our financial results and full-year guidance. Following that, Carl will provide his perspective on the commercial side. We will then open up the call for questions. First, I would like to personally thank all the talented and driven members of the Olink team for their hard work and their execution. I look forward to working alongside you as we develop the market leader in proteomics. Our performance during the third quarter of 2021 was strong. We continue to execute on our strategy of expanding the adoption of the Olink Proteomics platform to drive improved understanding of real-time human biology. We remain optimistic about the prospects for Olink as customer interest, interaction, and enthusiasm continues to be in line with our internal expectations, set earlier this year. It's clear to us that our technology and commercial strategy is resonating with customer across industry, research, and academia. We had a robust quarter, with total reported revenue of $20 million, representing growth of 82% compared with the third quarter of 2020. This brings our year-to-date revenues for the nine months, ending September 30, 2021, to $51.3 million, just ahead of our internal plan for the year. Our total constant currency revenue growth ex Agrisera was 79% year-over-year. Kit revenue growth in the third quarter was 14%, while service revenue growth accelerated to 152%, partly due to the delivery and revenue recognition on the UK Biobank project. While this dynamic drove a shift in revenue mix toward services in our 3Q, impacting Olink's overall gross margin, it's important to note that our kit gross margins were within expectations, and very strong. Overall, our Q3 performance was the result of focused and strong execution, despite friction driving more customer activity into and beyond the month of September, and among this COVID resurgence in the broader supply chain across certain geographies. When considering supply chain, plastics, in particular, have been a limiting factor, with some core labs now facing a minimum four-month lead time for  . Supply chain disruption was also seen in the four-month delays with some lab instrumentation and shipment of samples. Irrespective of these factors, we believe the third quarter is one to be proud of, and that Olink continues to be well-positioned for continued strong growth. The third quarter was also our second full quarter of Explore Kit sales. And we finished the quarter generating kit revenue from 21 Explore installations. It's important to remember that there is some time and training required on each installation before customers are pulling through consumables. And there is further incremental time until they are put into routine use. We remain confident in the high level of interest from potential Explore Kit users based on active discussion, conversations, and customer feedback. As of September 30, we had 21 Explore installations, compared with 16 on June 30, representing 31% sequential growth. Despite more installations securing later in the quarter than planned, the last 12-month consumables still remained at very attractive levels of about $550,000 over the last 12 months. Given the current stage of customer adoption and expected seasonality of customer utilization, individual kit orders can significantly impact the average pull-through metric, and quarter-to-quarter variability can be expected going forward. Looking into the remainder of the year, we're also pleased to see the fourth quarter Explore business off to a strong start, with installations consistent with our annual forecast. The Explore pipeline remains robust, and supports the plan that we have set out for the year, and a good starting position for 2022. We're also encouraged by the fact that we see a good representation of both biopharma and academia customers in that pipeline. We remain on track to hit our annual revenue guidance of $90 million to $92 million for 2021, although we continue to monitor potential impact from the COVID pandemic. From a regional perspective, we saw positive quarterly revenue growth and solid penetration of Explore in all regions. We continue to ramp up investments into our organization, and we're excited about the strong team that we are continuing to expand globally. At Olink, we continue to find success and strong traction in all three of our product lines, Explore, Target, and Focus. Explore represented 63% of our total revenue in the third quarter of 2021, as compared to 53% in the previous quarter. And year-to-date, the Explore platform represented 57% of our total revenue. As you'll recall, we announced the expansion of Explore with the introduction of the Olink Explore 3072, in June. We started taking orders in the second quarter, and deliveries are expected to begin in the fourth quarter of 2021. Carl will provide additional color during his prepared remarks. We know our customers are very excited about the expansion of our protein biomarker targets, and our ambition to expand to 4,500 protein biomarker targets in 2022 remains on track. And moving to our Target and Focus products, interest in Signature Q100 has been strong thus far, and we are on track with deliveries in the fourth quarter. In addition, in the third quarter, we reached an exciting milestone with the first major data delivery on the UK Biobank Pharma Proteomics Project, one of the world's largest studies of blood protein biomarkers conducted to-date. The project's use of Olink's PEA technology aims to significantly enhance the field of proteomics, enabling a better understanding of disease biology, and supporting innovative drug development for project participants. We are in the process of running 56,000 samples on the first 1,500 proteins, expected to finish this year. And plan to run the expansion of the Explore 3K platform on these samples, in 2022. We view this exciting research project as an investment in scientific discovery, deepening our relationship with the 13 biopharma consortium members, and the broader scientific community. A key part of our strategy is to work closely with   and key opinion leaders to drive the focus and content of our library, new product development, validation strategies, and enhanced data analysis. We see a strong trend amongst market participants to collaborate and share data. Olink has been selected to work with various consortia, including the UK Biobank and the SCALLOP Group, previously discussed on the second quarter call. In the third quarter, we announced the Olink-partnered CORAL consortium was formed, chaired by neuroscience thought leader, Dr. Charlotte Teunissen. CORAL is new collaborative community of scientists working on the Olink platform to investigate diverse neurological conditions by studying in blood and CSF fluid in an effort to identify model biomarkers and biological mechanisms for neurological diseases. The large quantity of proteins measured in neurological disease research demands analysis of multiple biologically relevant proteins simultaneously, and this opens opportunity to smoothly translate findings into clinically useful biomarker tests. We are proud that Olink's Proximity Extension Assay technology is being used in this important collaborative research on neurological health. Looking forward, Olink remains focused on investing in the business to accelerate research and development, as well as to expand our commercial infrastructure to drive revenue growth. We ended 2020 with 214 employees, and continue to deliver on our strategic plan to build out our organization. And at the end of September, 2021, we had 379 employees. These efforts to expand our presence have proven beneficial, and we expect continued aggressive investment during Q4, and into 2022. The people and technologies driving Olink are helping us drive the proteomics conversation, with more than 750 peer-reviewed publications to-date featuring the use of our platforms. This number is growing significantly, and we consider it a tremendous source of validation and differentiation for our industry-leading platform, our go-to-market capabilities, and the real-world applications we are enabling today. For instance, this summer, a paper published in the Annals of Oncology by authors Dr. Yohann Loriot, Antoine Italiano et al, explored protein biomarkers and their relationship with immune checkpoint blockade resistance. This study leveraged Olink Explore, first, to cast a broad net of biomarkers and found strong evidence for the role of one biomarker, leukemia inhibitory factor, LIF, as a potential suppressor of antitumor immunity. As a follow-up on this very exciting finding, they ran the Olink Target 96 Inflammation panel, which also includes LIF in a different cohort, and verified and confirmed their initial findings. A great example of why and how we build our product portfolio for various use cases and stages of experiments, and how customers use them as a first discovery step with Explore, followed by verification of preliminary findings with Target. Furthermore, LIF is not only a new potential response prediction biomarker; it also provided additional important information to the currently clinically established biomarker sPD-1 and PD-L1. While the field of oncology has made tremendous strides in recent decades, we expect that additional progress like this, and in identifying more reliable predictors of response is needed. And we believe next-generation proteomics is likewise needed to get at this relevant information. Scalable technologies, such as ours, will allow efficient discovery, verification, and clinical validation of tomorrow's improved biomarkers. Another recent example was featured in the Journal of the American College of Cardiology, just last month, by Matthias Unterhuber, et al. This study explored Olink-enabled proteomics and machine learning with the goal of improving prediction on cardiovascular mortality in at-risk populations. It included the discovery cohort of almost 2,000 individuals, and a verification cohort of 772 subjects utilizing the Olink Cardiovascular II panel, consisting of 92 pre-selected and relevant protein biomarker targets. In our opinion, the data generated represented a remarkable early example of applying machine learning to the large datasets to better estimate the risk of mortality. In this study, the combination of machine learning and protein biomarker-based prediction significantly outperformed classical risk score for   mortality. Classical risks scores, such as the Framingham Risk Score, are based on only a few biomarkers, for example, BMI, blood pressures, smoking, and blood cholesterol, and have an accuracy of just over 60%. However, this protein biomarker machine learning approach provided a striking improvement in risk prediction of over 90%. We think these are impressive results, and representative of the type of projects our customers are conducting on our platform. It's also very encouraging to see how this strategy could pay off with potentially great and important results for human health. In an effort to help the investment community learn more about Olink and how our customers are using proteomics to understand human biology to make more informed research and clinical decisions, we're hosting our inaugural Investor Day, on November 15. We plan to provide an overview of some key opinion leaders in the field of proteomics, including Rob Garcin, Arnav Mehta, Emma Guttman, Farhan Qureshi, and Chris Whelan are using the Olink product portfolio, spanning across Explore, Target, and Focus in their work. They will share views on how our technology helps in their research, as well as how proteomics is evolving. We've decided to host this event in virtual format. However, it's our intention to meet many of you in person, in 2022. As of today, we're planning to be in San Francisco in early January, when many of you are likely to be there as well attending an investor conference. In summary, we are pleased with our third quarter performance. We are confident we have the framework in place to continue executing on our investment and strategic plans, and drive meaningful growth for the years to come. I will now turn the call over to Oskar to discuss our financial results. Oskar?
Oskar Hjelm: Thanks, Jon, and hello, everyone. And as Jon mentioned earlier, total revenue for the third quarter of 2021 was $20 million, as compared to $11 million in the third quarter of 2020. Revenue growth was driven by the continued momentum in the expansion of our Explore platform, in particular Explore service revenues, which grew more than 12-fold year-over-year. Q3 2021 represented the second full quarter of sales activity for our Explore Kit offering, and variability in overall Explore product mixture in the initial quarter of customer adoption can be expected. Our Explore service revenues are driven by a broad spectrum of customers across the American, EMEA, and rest of the world. As of the end of the quarter, we had 21 externally placed Explore installations that we have generated revenues from in 2020, and the first nine months of 2021. 2020 kit revenues relate to easy access customers, and primarily occurred in the fourth quarter. We have seen an average pull-through on these customers of some $500,000 to $600,000, with individual customer spend ranging from less than $100,000 to $1 million or taller orders. As Jon indicated in his opening remarks, we expect customer demand to follow a seasonal pattern. More specifically, we anticipate demand would likely be higher in the fourth quarter, and likely lower in other quarters. Analysis services revenues for the third quarter of 2021 was $15.1 million, as compared to $6 million for the third quarter of 2020. The service growth continues to be driven by Explore across all regions. Kit revenue for the third quarter of 2021 was $3.7 million, as compared to $3.2 million for the third quarter of 2020. Explore Kit revenues accounted for 15% of Explore revenues in the quarter. As previously disclosed, the majority of Explore Kit revenue in second quarter 2021 was attributable to one order. Other revenue was $1.2 million for the third quarter of 2021, as compared to $1.8 million for the third quarter of 2020. Looking at revenue by geography, revenue in North America was $6.9 million, as compared to $5.8 million for the third quarter of 2020. In EMEA, revenue was $11.8 million, as compared to $4.4 million in Q3 2020. Revenue in China, Japan, and rest of the world was $1.3 million, as compared to $800,000 in the third quarter of 2020. Cost of goods sold was $7.6 million in the third quarter of 2021, resulting in a gross profit of $12.4 million in the third quarter of 2021, as compared to cost of goods sold of $3.2 million in the third quarter of 2020, which resulted in a gross profit of $7.8 million in the third quarter of 2020. Adjusted gross margin decreased to 65.6%, compared to 74.1% for the third quarter of last year. This decrease was due primarily to a shift in overall product mix and toward lower-margin service revenue, as well as a reduction of service gross margin itself, as we continue to invest in capacity. We also delivered the UK Biobank project at very strategic pricing, and experienced lower operational efficiency in the labs than anticipated. Kit gross margin is generally in line with our expectation. The by-segment adjusted gross profit margin for analysis service was 59% for the third quarter of 2021, compared to 75% for the third quarter of 2020. The decrease in adjusted gross profit percentage was primarily related to the reduced operational efficiency associated with new product offerings, and an increase in personnel cost, as we have increased our lab capacity. Further, we delivered UK Biobank revenues in the quarter, and they were priced at very strategic levels. We continue to believe that our strategy to increase kit revenues as a percentage of total revenues will have a positive impact on mix over the longer-term, though the quarter-to-quarter variations are to be expected. Adjusted gross profit margin for kits was 91% for the third quarter of 2021, as compared to 83% for the third quarter of 2020. Kit gross margin remains largely in line with our expectations, and we believe it represents an underlying gross margin level for our kits business. Adjusted gross profit margin for other was 74% in the third quarter of 2021, as compared to 54% for the third quarter of 2020. Total operating expenses for the third quarter of 2021 were $24.1 million, as compared to $8.6 million for the third quarter of 2020. We continue to invest and build out our global commercial team, invest in our R&D team, and growing our library of assets. The increase was further driven by costs associated with being a public company. Commensurate with the opportunity in front of Olink, we expect to continue to invest according to our strategic plan, and aggressively grow all parts of our business. Operating expenses are broken out as follows. Selling expenses for the third quarter were $9 million, as compared to $2.8 million for the third quarter of 2020. Administrative expenses for the third quarter of 2021 were $11 million, as compared to $4.4 million for the third quarter of 2020. Research and development expenses were $4.2 million for third quarter of 2021, as compared to $1.3 million for the same period in the prior year. Other operating income was $300,000 in the third quarter of 2021, as compared to a loss of $100,000 in the third quarter of 2020. Net loss for the third quarter of 2021 was $5.5 million, as compared to $100,000 for the third quarter of 2020. Net loss per share for the third quarter of 2021 was $0.05, as compared to $0.20 for the third quarter of 2020. Adjusted EBITDA for the third quarter of 2021 was $7.9 million, as compared to a profit of $2.9 million for the third quarter of 2020. We ended third quarter with $140 million of cash and cash equivalents. Moving to our outlook for the rest of the year, and while the pandemic resurgence has introduced additional uncertainty in various areas of our business, we maintain our full-year 2021 revenue guidance of $90 million to $92 million, representing 66% to 70% growth over 2020. I'll now turn the call over to Carl Raimond, our Chief Commercial Officer, to provide a bit more detail on customer behavior during the recent quarters, and product initiatives we are looking forward to. Carl?
Carl Raimond: Great, thank you, Oskar. So, we made significant progress during the third quarter, and remain very well-positioned as the leader in the market. I'd like to thank all the hardworking and talented members of our commercial organization for the strong result. As Jon and Oskar indicated, year-over-year revenue growth was robust, with strong expansion of Explore. We executed positively despite several factors affecting the quarter. First, kit sales and timing were impacted by quarter-to-quarter variability that was more significant during Q3, pushing some revenue into the fourth quarter. Olink also saw more significant demand for Explore service, which impacted product mix, and consequently overall gross margin. Additional dynamic, including supply chain related friction for Olink, and the industry more broadly, were also present. We believe some factors are being driven in part by the resurgence of COVID-19, while others are more characteristic of a rapidly developing and large commercial market opportunity. We also experienced some of our customers taking a longer summer vacation, with people arriving back for work, later in Q3, than we've typically observed and planned for. In our opinion, non-significantly impairs the promise of the proteomics opportunity that lies in front of us. Olink products, Explore, Target, Focus, and now, Signature, all resonate with the current and prospective customers. And we're strongly executing according to plan. Of the 379 employees we ended the quarter with, more than 140 are in the commercial team, and we're just getting started. Interest in Signature Q100 has been strong thus far, with several orders in hand from North America, Europe, China, and other parts of Asia-Pacific. This positive response from our customers is reassuring, and we're on track with deliveries in the fourth quarter, as we had expected. Through our collaboration with early adopter, CellCarta, we will bring the Signature Q100 platform into CellCarta's CAP/CLIA laboratories to address the need for proteomic biomarkers in clinical trial, and support multi-omics analysis with its CellEngine software. CellCarta's global footprint, with sites in the U.S., Canada, Belgium, Australia, and China will allow for rapid deployment of the platform, and support clients in their global clinical programs Moving back to Explore, as you'll recall, we announced the expansion of Explore with the introduction of Olink Explore 3072, in June. We have started to take orders, with deliveries expected to begin in the fourth quarter of 2021. We continue to see good traction on Explore externalizations to-date, in Q4. And we're optimistic that we will end the year with the number of installations that we had planned for at the outset of the year, setting us up for further growth in FY'22. Beyond 3000, we remain committed to expanding our protein library, while investing in tools, software, and capabilities to help our customers. We know our customers are very excited about the expansion of our protein biomarker targets and our ambition to expand to 4,500 protein biomarker targets in 2022 remains on track. And with that, I'll turn it back to our CEO, Jon Heimer.
Jon Heimer: Thank you, Oskar, thank you, Carl. In summary, the third quarter of 2021 was another quarter of continued execution and growth. We are pleased with the growing traction and robust adoption across our entire portfolio of products and services. We are particularly pleased to see the continued revenue momentum towards our revenue guidance, continued progression of our Explore platform, and in particular the strong momentum and delivery on Explore Kit externalization strategy. We look forward to providing future updates on the investments we're making in our business and our strong operational and financial results. At this point, we'll open up the call for questions. Operator?
Operator: Thank you.  Puneet, your line is open.
Puneet Souda: Yes, hi, thanks for taking my questions. Jon, I think given the quarter, just the first question, rightfully so, is on supply chain. What are you seeing today versus, let's say, in September? I think the main question among investors is, is that -- is it worsening? And more importantly, how do you see Olink's products are tied to the supply chain, meaning that in terms of is it the plastic, is it instrumentation? And, obviously, you are a consumables company, so I just wanted to understand is it the plate plastics that you mentioned? Is it the robotics or the liquid handling installations that are happening ahead of the Explore pickup? Just help us parse out what's happening exactly on the supply chain, and the trend line what you are seeing in the field?
Jon Heimer: Yes, sure. Thanks, Puneet. Yes, so as we exactly said in the prepared remarks, right, so, in particular, it's down to nitty-gritty stuff like  , and for core labs that are adopting the Explore platform, as we communicated, it could be more than four months of lead times to get those simple plastics. But on top of that, there is also some delays in the automation upstream ahead of the Explore instrumentation. So, we have seen delays in supply to our core labs on that front as well. And then on top of that as well, as I'm sure see as well, right, shipping of products across the world are strained, and hence we see delays sometimes in shipment of samples, and so forth as well. And, Carl, you can fill in, but I wouldn't say that we see that it's worsening, but it's rather continued at roughly the same pace. We are super happy that we internally have been very forward-looking and stocked up to our needs. We also try to help our customers to supplying them with some of these simple plastics, but we can't help everyone. So, that's when we sometimes see some of the delays, unfortunately. So, I don't know, Carl, if you want to add anything to that?
Carl Raimond: Yes, without being redundant, I think you nailed it there, Jon. I think, agreed, we don't necessarily see worsening, but a continuation of those supply chain   on our customers. And I think that covers, actually, many classes of instrumentation from third-party companies as well as, again, all the various plastics, and so on. And as Jon noted, I think we've implemented some sort of clever mitigating strategies where we can, but, of course, we don't control supply chain across the industry. So, I think we're going to continue to see some of that, but we feel like it's manageable challenges.
Puneet Souda: Got it. And then, Jon, on the fourth quarter guide -- implied fourth quarter guide, I think the biggest question is, given the supply chain and the timing issues that you're seeing here. What gives you confidence in the fourth quarter? I suspect part of that is the UK Biobank, but correct me if I'm wrong on that. Fourth quarter represents a meaningful step up for you based on our map. I mean, obviously, this is fourth quarter seasonality, you have pointed that out before, and we're fully aware of that. But just wanting to parse out how should we think about the pickup in the fourth quarter, because it represents 90% or so sequential growth, versus sort of the 13% sequential growth that you just delivered in the quarter. And just given the supply chains, UK Biobank, and the Explore Kits, and what you're hearing from the customers, could you help us just frame the fourth quarter dynamic that you're implying in the guide?
Jon Heimer: Right, thanks, Puneet. So, obviously, we've been -- this is our first year being a public company as well, as we try to be super careful here in what we say and how we execute. And we feel very good actually on where we're at in terms of customer interest and demand. So, we certainly believe that we have lined up the opportunities to be able to meet the guidance that we are communicating today again, so carefully invested, our pipeline customers, projects, and both from service and kits, et cetera. So, it's, obviously, still a few weeks left, right. So, we're not across the bridge yet, and obviously keeping very close eye on shipment of the samples that needs to be done, the kits that need to shipped, and so forth. So, we're not out of the woods yet, but with very careful consideration of all the details we can look at in customer demand and interest, and concrete business opportunities that are on the table, we remain confident and continue sharing our current guidance.
Operator: Your next question comes from Tejas Savant of Morgan Stanley.
Tejas Savant: Hey, guys, good morning. So, I want to follow up on some of the earlier themes you just addressed there, Jon. Can you be a little bit more explicit in terms of that sort of $40 million 4Q implied guide, what do you baking in for COVID impact? I'm just trying to gauge how much sort of insurance, if you will, is baked into the numbers here if COVID trends don't get better in the back-half of November, and into December?
Jon Heimer: Yes, no, so when we did our internal analysis we have taken into account the current COVID situation we see. So, here, we need to be on our front foot, right, we need to be very proactive in terms of planning of shipments, and detailed execution of these opportunities, perhaps in a higher level than what usually in normal circumstances are. So, yes, no, we've been trying to be extremely proactive there. And then, Carl, please fill in here as well, from your perspective running the commercial side on the thoughts, and steps, and the considerations that we've done.
Carl Raimond: Yes, no, agreed. I think we've -- it's a fairly intense level of detailed planning I think, as Jon noted with the continued friction from the supply chain issues. But as noted, yes, we are not -- we don't have rose-colored glasses on and expect that that's going to clear up in the fourth quarter, all right. They're even carrying probably into 2022. So, yes, we've considered that, I think, in the context of our business. But I think the underlying momentum in our business, in the interest in proteomics; we see customer budgets are remaining intact. So, I think we are sort of optimistic on the business overall, but certainly being cognizant that the COVID-19 drag will continue for some time.
Tejas Savant: Got it. And then a quick follow-up for me, of that $4 million kit revenue in the quarter, how much of that was from deCODE? And then on the UK Biobank, how are you thinking about contributions in the first-half of '22? And any color on follow-on population-scale work that you've had since would be great as well?
Oskar Hjelm: Yes, thanks, Tejas. It's Oskar here. So, I can address the first two questions. And then on the population studies, I can defer to Carl. But I think the deCODE project we delivered in Q2, so nothing from deCODE in the third quarter. And then in terms of the UK Biobank and how we see that impact in 2022, I mean we see that the pricing has been relatively competitive and sort of strategic from our perspective. So, it's a building block to get to our internal targets for 2022, but it's not -- it's a relatively smaller contributor than the project in 2021.
Carl Raimond: Great. And on the population biology piece, I can speak to that. Yes, we are continuing to see more interest and having more conversations in sort of large scale biology proteomics, which is very exciting. Nothing we can speak to in any specific detail at this point, but certainly more information will be forthcoming as we develop those opportunities further.
Tejas Savant: Got it. Thanks, guys.
Jon Heimer: Thank you.
Operator: Your next question comes from Matt Sykes of Goldman Sachs.
Matt Sykes: Hey, everybody, good morning and thanks for taking my questions. Maybe if we just dig into the kit review a little bit more. If you could just kind of parse out what was the COVID-related supply chain impact versus demand uptake for the Explore Kit product specifically? Just trying to figure out the cadence sequentially of Explore Kit growth, and what's driving that?
Jon Heimer: Yes, good morning, Matt. Good question. So, it was rather that we had to push a few of the Explore installations from the third quarter into the fourth quarter, with some delays of the instrumentation or the plastic that goes with the training and certification. So that unfortunately pushed some of those Explore installations out a bit in time. They have been performed now, but we didn't make them in the third quarter. So, that is obviously also then sort of pushed out the -- any kit revenues, that there is no -- no use for the customer to buy the rating kits when they're not up and running on the platform, if that makes sense.
Matt Sykes: Got it, that's helpful. And then just looking at the mix between analysis, service, and kits, you guys have been kind of beating on numbers on analysis, service, and coming in light on kit. And I'm just wondering, as that mix shift happens as we head into '22, is it a supply chain availability issue that people are more comfortable doing some of the Explore work with the analysis services, and so it's driving more growth in that area, relative to standalone kits? And if so or if not, how are you thinking about '22? I know it's early to talk about that, but just trying to think of that mix shift that we had anticipated more towards kits. I'm just wondering if analysis services stays kind of higher for longer as we deal with some of these issues in the supply chain or maybe some other issues that are in the market?
Jon Heimer: Sure. Well, first of all, we are super excited by the excitement, and interest, and demand for Explore. We think that's the first great steppingstone, right. And then we are not out of the woods of this year yet, so let's close the books on where we are at for the externalization and kit strategy for 2021, when we see the full-year. So, I would not jump to conclusions yet. And from prior experience in the business, a lot of things tend to happen in our fourth quarter, as you're well aware of. So, looking into 2022, as we hope that we will be on target on our strategic plans for Explore in total for the year, we think that gives us a fantastic springboard jump into 2022. And, obviously, starting '22 from a completely different situation in terms of Explore external users than when we started this year. And then, with the excitement and interest and the pipeline we're building for further expansion and externalization of the Explore platform, we continue to believe that 2022 will be a very exciting year for Olink as well.
Carl Raimond: And I would just add one comment to that. As we launch the Q100s, we'll also start to see sort of acceleration of interest in externalization on our Target platform as well. So, that'll be another factor playing in to that mix, over time that will be a positive.
Jon Heimer: Well, yes.
Matt Sykes: Okay, thanks for taking my questions.
Carl Raimond: Thanks, Matt.
Jon Heimer: Thanks, Matt.
Operator: Your final question comes from Sung Ji Nam of BTIG.
Sung Ji Nam: Hi, thanks for taking the questions. Maybe starting out with a clarification question, obviously, you guys saw an increase in the cumulative number of external kit customers in the quarter sequentially. But from an incremental new external kit customer addition, it was just five, compared to last quarter which was 16, and I'm assuming there were some early access customers baked into that as well. But all in all, you are seeing -- there was a decline, and a meaningful decline in terms of new customers added. And I was just wondering, is the main driver that largely the supply chain constraints you were talking about? Or I'm also curios if there is also kind of a shift in terms of gaining new customers through installation of new Explore systems versus leveraging the existing install base of sequencers that are out there? I don't know if that makes sense.
Oskar Hjelm: Yes, thanks, Sung Ji. It's Oskar here. So, I mean we grew our install base in the quarter over Q2. So not sure, I guess, the common sort of what the loss of customers or the reduction in the customer base. So, perhaps if you can clarify that.
Sung Ji Nam: In terms of the incremental new customers that you added in the quarter versus relative to last quarter, for example.
Oskar Hjelm: Yes, but I -- okay, then I get the -- yes, I think it's -- I mean, looking at the business, and I think all the sort of discussion we've had this morning around various supply chain issues on the customer side and getting the instrumentation. And then I think Q3, in general, being a month where a lot of the world is away on holiday for a good part of the quarter. So, looking at the sequential growth, Q3 over Q2, might not be completely representative. So, I think where we get comfort in the traction on the Explore externalization is looking at the conversations and discussions we have with customers, the pipeline of customers and installations for Q4, and ending the year, as Carl alluded to, where we would expect it to be at the start of the year, and setting us up for 2022.
Sung Ji Nam: Okay, got you. And then just on the -- for the Q100, you are seeing strong demand there. I was curious if you are seeing -- if the demand is largely coming from the existing Target and Focus customers or if there is a significant interest coming from not -- new to Olink or new to PEA technology customers? And if so, then what's kind of driving the demand? Which segments in the market you are seeing the greatest demand coming from?
Carl Raimond: Yes, so we're seeing --
Jon Heimer: Yes, great question. Carl, you want to take that?
Carl Raimond: Yes, sorry. Yes, so, we're seeing very balanced demand actually, which is fantastic to see from customers who are either current users or have been prior service users, and then a large number of new customers as well. And so, demand is coming from -- it's actually incredibly diverse as well, which I think is encouraging. So, for customers looking to bring some of their programs in-house from companies and suppliers, service providers, like CellCarta, who offer CRO type services, and then straight into academic centers and core labs. So, a great diversity of interest in the platform, which is what we expected to see, and we think is a great statement for the flexibility of the technology, and sort of various -- in various outlet. And, net-net, all great for our end users because this opens up the capabilities, that Olink, we think we do a terrific job with our services but, of course, someone like CellCarta who has CLIA/CAP labs and other labs who have other unique capabilities, I think just opens up a world of opportunity for our end user. So, we're very excited about that.
Sung Ji Nam: Got you, great. And then if I could squeeze one more in; great to see the first major data delivery to the UK Biobank. Was wondering what's the timeline in terms of when we can first expect to see data presentation coming out of the proteomic dataset?
Jon Heimer: Yes, we are excited about that too. Yes, so we -- the first 1,500 proteins we plan to deliver the data this year. And UK Biobank has an own internal QC process, and then the data will be shared with the 13 biopharma companies then, towards the end of this year. They have a nine-month exclusivity looking at the data. And after that, it will be published publicly. So, you should expect that, I guess then, towards the beginning of the fourth quarter, next year. And when we expand to the 3K, it will be a very similar process. So, when we deliver the last dataset the nine-month clock starts again and before those data get published in the public domain as well.
Sung Ji Nam: Great, thank you so much.
Operator: At this time, there are no further questions.
Jon Heimer: Okay, thanks, operator. And I think everyone for joining us today, and for your interest in Olink. We look very much forward to keeping you updated on our progress advancing proteomics, while also enhancing shareholder value, and are very excited to speak with you again at our Investor Day in a few days. So, have a great day, everyone, and thanks for attending.
Operator: Thank you for participating in today's conference call. You may now disconnect.